Operator: Hello and welcome to the Group SEB’s First Half 2024 Sales and Results Presentation. My name is Francois and I’ll be your coordinator for today’s event. Please note, this conference is being recorded. [Operator Instructions] I will now hand you over to your host, Stanislas de Gramont, CEO; and Olivier Casanova, CFO, to begin today’s call. Thank you.
Stanislas de Gramont: Thank you very much. Good afternoon, everyone. Welcome to this first half 2024 sales and results call. Thank you for being with us. I know that this time of the year is very packed with meetings and we are grateful that you are with us today. Right, we will cover the results, starting with sales. Then we look at the financials. We’ll finish with the outlook and we will then take your questions. Before going into sales, we had several events in the first half of this year. The first one is, a lot of things happen, of course, in the group, but the first one was that decision that we announced in January to launch our first professional coffee hub in China in Shaoxing. I think that’s a reflection of our determination and our commitment to building large and worldwide coffee business in professional. We also announced in Q1 the acquisition of Sofilac, which is a high-end professional and semiprofessional cooking equipment, with a very famous brand Charvet and Lacanche. Around the end of the first quarter, the beginning of the second quarter, we signed a strategic partnership to reinforce our footprint in Saudi Arabia, acquiring a majority stake in our distributor Alesayi. That’s a reflection of our determination also to grow our business in more emerging countries. We see Saudi Arabia as a country with a lot of growth potential and profit potential. So this is a key milestone in our developments in that region. We also launched in the first quarter in our French factory, Vernon in Normandy, the first versatile vacuum cleaner made in France. You will see that this is a product category that is doing very well for the group, and we’ve decided to expand our production to this front site. Going over and beyond that, we also decided and announced the opening of our first repair and refurbishing center at industrial scale in France, in our factory of Is-sur-Tille in Burgundy, that’s a testimony of our commitment and trust in the fact that repair and refurbishing will be and become more and more important with years to come and secondhand products will be a part of our business in the forthcoming few years. We are staying true to equip ourselves to be able to face and tackle this business opportunity. And lastly, we continue strengthening the group financial structure. We’ve put – we’ve raised, I think, longest ever financing for the group, a 12-year loan that we signed in the first quarter that confirms the confidence of the financial institutions in our books and in our results, and that strengthens further the financing of our operations. Now that is said, going into the numbers for the end June 2024. We’ve put together a pretty strong performance for half 1 sales. We finished the semester – the half year at €3.740 billion, that is 6.5% like-for-like growth versus half last year. And that has converted into an operating profit, operating margin of €244 million against €180 million in 2023, that’s a growth of 35.4%. That came after a strong Q1. And in Q2, indeed, we posted a 5.6% like-for-like growth in sales and the 15.8% like-for-like growth in offer. To note that this offer is the highest ever operating result from activity of the group in the second quarter in our history, so it’s not only a good achievement, it’s the highest ever achievement. Now how did we do that? We start with sales. We had a 6.5% organic growth in sales, as I said. We have a negative currency effect of 3.5%, I’ll come back to that in a second, and a scope effect of 0.6%, the integration of Pacojet and La San Marco are weighing on that, leading to reporting growth for the half year at 3.6%. Talking about currencies, we had €127 million currency effect. We saw first quarter fairly high at €75 million. We have in Q2, a more moderate impact at €52 million. And if all goes as currently stands, we should have lesser and lesser impact on currencies on sales in the second half of the year. What did we get that impact from, the Turkish lira, the Russian ruble, the Argentina peso, the Japanese yen and to a certain extent, the Chinese yuan. Now when we go into the various – the 2 divisions, the professional posted a remarkable 13.8% growth at €495 million. That’s 10.9% like-for-like, the balance is mainly a perimeter more than currencies. Whilst consumers posted €3.246 billion, sales up 2.2% in reported, 5.9% like-for-like. If we go into – if we dig down into – if we dive into the detail by activities, starting with the professional business, it’s a record half year for Professional Coffee that is driven by China with a Q1 that was positively affected by large deals phasing. Q2, we have high comps. We have a more pronounced impact expected in H2 from those icons. We had large deals in China and U.S.A. last year in Q1 and in Q2. And we think those will be less relevant and prominent in the second half of the year. Beyond deals, we have a very solid core business in our third market with WMF in Germany. And we continue to see very good progress in Asia, in Malaysia and Taiwan, but also in Eastern Europe, in Mexico. And in China, in China, what’s interesting is that we see a developing business with tea chains. Tea chains are 2x or 3x as important in terms of number of stores as coffee shops, and they see the potential and the development of coffee consumption, and we start to entertain some business relationship with them selling some machines and develop making some new product developments. And last, I repeat, we acquired Sofilac in professional culinary, which will be a very nice addition and a building block of our professional culinary business. Our consumer business had a very good continued sales momentum. As I said, growth 5.9% like-for-like on the semester – 5.9 – you will see that China is stable over the semester. And in fact, if we look at our organic growth consumer, excluding China, this stands at 9%, which I think is a very, very strong performance that reflects the quality of our innovations, the quality of our go-to-market strategies outside of China. Precisely, that performance is strong and within the expected trajectory in Europe and in the U.S.A. Stable sales in Asia, the market environment is difficult, I’ll come back to that. We gained market share, and that is fueled by innovation. We will develop some of the categories we have some very good news on and we have positive markets throughout half one in Western Europe. That’s including also Germany and France, our main 2 markets and a pre-dynamic market in emerging countries. However, overall, we see a global environment that is somewhat slightly less favorable in the second quarter as it was in the first quarter. Now the other remarkable thing of this quarter is that it’s the fifth consecutive quarter with organic growth in consumer above 5%. And I think it’s great because we had a favorable base effects in the last – in the first 3 – in the last 3 quarters, sorry, of 2023, comparing ourselves against negative sales performance in 2022 last 3 quarters and is the second consecutive quarter that we have positive numbers against a positive number. So it’s good news. The first, sorry, positive against positive. Now if we drill down into the regions, we start with EMEA. In EMEA, we have positive trends in small domestic equipment market. We are outperforming the market, thanks to a very positive momentum in market-driving categories, those categories that really drive the market development. We’ve been doing pretty well in this quarter and this semester. Excluding loyalty programs, our organic growth in France, is above 7% in the first half of the year, and this is reflected in some of our customer’s publications, small domestic equipment is dynamic in France, and we are dynamic in France. And Germany that was struggling a bit in the first quarter is back to growth in the second quarter. The only maybe less good news in Europe is that we still see a declining U.K. market. But as you know, UK is not very important for us as a market. Other EMEA countries have put together a growth organic above 30% that is restaggering with a very strong excellent momentum in Eastern Europe, very nice growth, continued growth in Turkey and Egypt in a pretty complex environment, currencies, devaluations inflation. And as I said, we are faring better and better in the Middle East with a strong potential development with that agreement we’ve signed in Saudi Arabia. Moving west. The Americas have posted 12.9% like-for-like growth in this first half, driven by both North America and Latin America and South America. In North America, we’ve maintained our growth pace with a growth of 5.6% organic. That’s driven mainly by cookware in the U.S., and that is in a slightly declining market for this half year. That growth is also made of a continued growth in Mexico, driven by a very healthy market and market share gains in funds, in full auto coffee machines and in Linen Care. We are leaders in full auto coffee machines in Mexico, and we are developing that market very nicely. South America showed another steady increase this quarter. Of course, it is substantially driven by FEIN sales. FEIN sales are enjoying a very positive weather impact driven by the El Nino phenomenon that makes higher temperatures that increases FEIN sales. We had that in the second half of last year. We’re having that the first half of this year, but also to a lesser extent, by other categories, strong cookware performance in Colombia, strong coffee partnerships in Brazil. And that’s despite a rather unfavorable macroeconomic environment, with some devaluations in the latter part of the half year. So, all-in-all, a pretty good performance in Americas at 12.9% like-for-like growth. As I said in my introduction, Asia has been stable this quarter, stable in China and pretty heterogenous in other Asian countries. China first half year is stable in a declining country. We have continued market share gains we’ve been having that for several consecutive quarters, driven by innovations on our core products. We have a product and offering that is expanding into new adjacent categories, and that’s feeding our growth. We see a weak consumer environment and a somewhat high promotional intensity in the market. And we expect for the full year a stable or slight organic growth in China. In other Asian countries, we had a pretty mixed performance with the first half traffic did in China Japan first by a strong and ongoing yen depreciation. I think we touched JPY175 to the euro, which is, I think, a record low currency rate for that currency. And that affects, of course, our markets. That affects our margins. We did have some commercial successes in South Korea despite a market that is pretty sluggish. And I think we’ve been doing substantially better than the market in cooker in particular. And last, we see some dynamic activity in Australia, and that is driven by all our product categories, Cookware, Linen Care, but also Electrical Cooking. Net-net, if we go to the performance of our overall products, you see that most categories, all categories are positive. The star is, of course, some comfort I mentioned it. But we see a very solid performance in Linen Care, in Beverage, in Floor Care, with growth all of them above 10%. Cookware is very dynamic, if we exclude DLP in France. We exclude it because we know there’s a phasing effect between last year’s loyalty program that was in first half and this year, the loyalty program that’s going to be in the second half. So we are not concerned at all about that comparison. Electrical Cooking is slightly positive with a negative impact on the China – on China and the Chinese market. Right. That’s for the overview. Now we thought we would share with you some examples of a good product performance. As you know, the performance of the group is driven by the sum of the performance of the various categories and the performance of the various categories is driven by a mix of go-to-market excellence in execution and innovation. So I’ll review with you what are big blockbusters for the group and how they performed in the semester. We start with Cookware, around 25% of our consumer business, that grew organic by double-digit in the second quarter, excluding [indiscernible]. And that was including in France, where we could have had some questions about the politics on PFAS. In fact, we posted a double-digit positive quarter and semester in France, and we see a very good growth overall in the quarter worldwide, driven by core business, but also driven by innovation, of course, engineer as usual, but also great developments in ceramics and stainless steel products. You know – you’ve heard that all last 5 years have been very dynamic in the last 2 or 3 years in Europe. We’ve rolled out new ranges of products in Europe – in Continental Europe. Our sales grew that first half by 80% versus first half last year. So again, it’s growing, it’s a booming market, and we are taking full advantage of the growth of this product category. We’ve been developing in the last 5, 6, 7 years, our business in the bins-to-cup full auto coffee machine, as we call them. It’s the second consecutive semester that we see sales increasing by over 25% in Europe. So, again, a very strong development and a very steady growth in that business. And as I mentioned, we are internationally expanding those categories. We’ve reached leadership in Mexico and we are pushing the market consumption in this market. Vacuum cleaners are the biggest category – one of the biggest categories in all markets in SDA worldwide. Versatile vacuum cleaners are the bigger category in Europe. And we’ve enjoyed once again, organic sales growth over 40% in EMEA in the first half. We are strengthening our number two position in this continent, reaching number one position in our home country, France. And last, we’ve been talking about Linen Care with some questions in the last a few years on – whether Linen Care would be a category in decline because of the evolution of consumer habits? And we were saying that consumer habits were not disappearing. They were evolving towards more garment steamers, stand garment steamers, portable garment steamers, you name it. And in fact, we see that and we see that our latest launch Pure Pop has launched, in the last 18 months, over 1 million units. And those sales grew over 30% in France – in sorry, in Europe over the last two consecutive quarters. So even in more mature categories, we see a development of new alternative, new products, and we see again that innovations and go-to-market excellence in execution can deliver, does deliver strong results. So that was my run the world and run the products. Olivier, you want to take us through the financial performance?
Olivier Casanova: Yes, absolutely. Thank you, Stanislas. So let’s turn to Section 3. First page, of course, the highlights, I think are well known, as Stanislas indicated, the ORfA in the second quarter was the highest ever for the group. You can note that in the second quarter, our op ORfA margin stood at 7.2% and it was 80 basis points above last year. So slightly below the performance in the first quarter, but this is normal. Of course, we started our recovery in the second quarter last year. So you will see this, let’s say, difference reduce over the second half as well. Moving on to the usual bridge. So I will start with currencies first, and then I will take you through the two other blocks in turn. So first on currencies, you can see €73 million negative impact. This reflects, of course, two things. First, the fluctuations and the depreciation of currencies in emerging markets and including the depreciation of the Chinese yuan in the first semester compared to the first semester last year. And also secondly, the variation in hedging results from this semester versus the last semester. It was positive last semester. It’s slightly negative this semester, and that explains about half of the difference. Now let’s go back to the first block, the green block. So here, you could see, first, a very strong positive volume effect at €78 million, which is both linked to the strong growth in Professional, which we had already last year. But this year, we have a stronger – even stronger contribution from the consumer side, which is, of course, very positive. Let’s turn to the other big block, which is €103 million of reduction in cost in sales. Of course, it’s a combination of a carryover effect from the reductions we enjoyed last year through which, of course, impacted us throughout the year. So we have a full year effect in this first semester, plus, of course, a big positive effect from the increased volume in this first half in the form of increased absorption of fixed cost. And we had also some additional, let’s say, benefit from further reduction in raw material and components. So this is obviously very positive. And as is usual, we have used, of course, reinvested part of this strong decrease in cost to fuel our dynamic sales performance. And this explains partially, let’s say, the small negative price effect that we have in this first half. It is counterbalanced by, as usual, a positive mix effect, thanks to the let’s say, dynamic new product introduction that we have in the first half, as explained by Stanislas, notably on oil-less fires in electric cooking, and stick vacuum cleaners, linen care, full auto, etcetera. Let’s move now to the second part. So we have a slight increase in growth drivers, which is largely, let’s say, supporting the positive development in our sales. Of course, it’s largely marketing, but it’s also further investment in new product development. We have also a slightly higher commercial expenses which is reflecting again the further investment in our commercial development, notably online and at retail. And then administrative expenses were largely, let’s say, stable versus the first half of last year, showing, let’s say, the strong control that we continue to exercise on this cost. So this translates into a net profit for the half at €100 million and a net profit margin of 2.7% versus €76 million in the first half of last year, so up 31.6%. Now let’s turn to the balance sheet and more specifically working capital. So firstly, you can see the ratio stand at 18.2%, just under €1.5 billion of working capital at the end of June. This is very much in-line with, let’s say, the average over the last few years as we will show in a minute in the next slide. However, I think it’s worth pointing out that we were slightly impacted and the working capital was slightly inflated by two specific events. The first one, which impacted inventories. We have been impacted, of course, by the Red Sea crisis, which has lengthened as you know, the supply chain. And we have about €120 million more inventory in transit on water than we had at the same time last year. This is also partially reflected, of course, the increase in activity. The second element is impacting the receivables. It happened that actually the end of the month, the 30th of June, was on a Sunday, and we have, of course, a large proportion of our customers which pay at the end of the month, and that led to an increase of about €50 million in short-term overdues, but nothing to be worried about. Most of it was settled since. So this, again, shows, let’s say, the position at the end of June in blue and at the end of December in orange. So you can see that we are perfectly in-line with the usual pattern of seasonal working capital increase with a position at June, which is on average 2% to 3% higher than the position at the end of December. Let’s turn to the free cash flow for the half. Now you can see the strong, let’s say, negative variation in working capital in orange at minus €336 million. So as I said, it’s reflecting two things. The first – the two elements that I mentioned at the end of June, which is slightly inflated by probably €100 million to €150 million of working capital at the end of June. And also the fact that conversely, our working capital at the end of December was, let’s say, particularly low at 14.6%. We tend to consider that a normal, let’s say, working capital is around 15% to 17%, let’s say, 16%. So we can consider that the position at the end of last year was probably slightly lower by a tune of, let’s say, €100 million. So if it wasn’t for these two elements on a normalized basis, we would have had a free cash flow generation, more in-line with the usual trend around zero or between zero and €100 million positive. Moving to the evolution of our net debt. Sorry, so this is showing the – yes – on a last 12 months basis, this shows, in fact, that our working or, let’s say, free cash flow generation over 12 months is very much in-line with our usual let’s say, free cash flow generation around €400 million to €500 million. Moving to net debt now in H1. So you can see that we had beyond the free cash flow generation, which I just explained. Dividend of €194 million. This reflects, of course, the dividend paid to our group’s shareholders, but also the dividend that was paid to – that were paid to the super minority shareholders for €45 million. We have €140 million in acquisition, which is both the acquisition of Sofilac, but also the Saudi Arabia partnership. €90 million, €89 million in share buybacks. You may remember that we took advantage of the exit of Peugeot Invest to buy back 1.25% of our own shares to cover largely free share programs for the management and we are effectively fully covered now for all the programs for the last 3 years, 2022, ‘23 and ‘24. And this led us to a net debt position of €2.4 billion, which is up marginally on the same position last year, €76 million higher. And you can see here the evolution over a 12-month period. So again, a position which is largely similar to the same time last year. That’s it for me. Stanislas over to you for the guidance.
Stanislas de Gramont: [Foreign Language] Thank you, Olivier. Right. The outlook for 2024, and before maybe commenting the outlook itself. I think we are after – we are off to a very good start in SEB. I think the remarkable highlights of the semester our continued strong performance of professional. Again, I said that it would be facing pretty high comps in second half. But also a strong performance in the Consumer business, 9% growth outside of China is pretty remarkable, and that shows that we can grow the Consumer business even with China lagging behind on the back of negative market performance. We see that second quarter context was a bit less favorable than the first quarter context, and that’s part of our thinking. And yet we are pretty confident that with all that and all these considerations, we are confident to guide the market to an organic sales growth of around 5%. With a growth that overall in the year will be more balanced between the consumer and the profit business than it was historically. And with a context of a reduced macroeconomic and geopolitical visibility but confidence in our trajectory and in our ability to deliver that trajectory. When it comes to margin, we’ve all seen the impact of the Red Sea crisis on the sea freight. Yes, there are some headwinds. But still despite that, we confirm that we see an operating margin through the year, close to 10% on the back of very strong realization in the first half of the year and on the back of this sales realization for the second half. [Foreign Language] Thank you very much for your attention. I think we’ve done well. We’ve done in 30 minutes. So now we have plenty of time for all your questions.
Operator: [Operator Instructions] Our first question comes from the line of Alessandro Cecchini from Equita. Please go ahead.
Alessandro Cecchini: Hello, everybody. Thank you for taking my questions. The first one actually is on pricing that you mentioned about slightly negative pricing. I presume that in Eastern Europe and LatAm, you increased a lot of pricing to offset or partial offset ForEx. So therefore, if you can comment on your price and policy in Europe and North America and China. So just to understand also maybe a feeling on the promotional environment in these mature markets plus China. My second question is that about your guidance of 5% – around 5% organic growth. So if refer if we include professional lower than the first half, LatAm lower due to different partners in China flat. So I presume that you expect Europe to continue to go well also in North America. So if you can elaborate a little bit more on these two regions that seems – I mean, good you embedded in your outlook? And finally, my last on the freight costs, you mentioned the Red Sea disruption. So if you can elaborate a little bit more on what could be the headwind that you are accounting for or included in your guidance? Thank you.
Stanislas de Gramont: Olivier, take number one and number three, and I’ll come back on the guidance.
Olivier Casanova: Very good. So on pricing, as you know, we have, let’s say, the usual pattern in emerging markets where there is both currency depreciation, we are normally able to pass on price increases in a context generally of significant inflation. So it means effectively that we had a negative price effect in other markets, namely Europe and China. But this is a normal, let’s say, cycle. As you know, when we had in 2021, ‘22, a strong increase in our costs. We are able to pass price increases to our customers. And of course, in – when the reverse happens, when we are in an environment as we have been in the last 12, 15 months of cost or strong cost decrease, then, of course, we have to, let’s say, pass on some of that we normally, of course, try to, let’s say, protect our margins and only pass on a portion of that, but it’s quite normal and it’s part of the, let’s say, cyclical and the normal dynamics of the industry. But as I said, it mostly impacted Europe and China. Shall I take the freight cost?
Stanislas de Gramont: [Foreign Language]
Olivier Casanova: So freight cost, yes, we have impacted – been impacted by the Red Sea crisis. We have seen price of ocean freight increase in the second quarter, in the end of the second quarter. We have not seen a big impact yet in our Q2 results. We’ll see a slightly bigger impact in the, let’s say, remainder of the year, mostly Q3. But the good news is that it will be much smaller than the impact that we have seen, let’s say, in 2022, largely because we have been able to use our contracted prices for a large part of our volume. So we have minimized, let’s say, the impact of floating prices on only a portion of our volume. And the second good news is that we are seeing, let’s say, prices starting to recede at the moment and prices for the, let’s say, remainder of the year may not be as high as we feared a couple of weeks ago. So, yes, there will be an impact, but it’s an impact which will be, let’s say, manageable.
Stanislas de Gramont: Thank you, Olivier. On the – maybe one more comment on the pricing. Just to restate, our policy is to protect our margins and to find the right balance between commercial activation, commercial aggressiveness growth and margin. And we spent a lot of energy focusing on margin management, our margin discipline. And I think, yes, we can have some variations in price and mix and COGS. But we – the bottom line is we want to make sure that our margins stay under control. On the guidance, I think your analysis is very logical. If we say that professional will be against cycles, if we say that China will be stable, of course, that means that the rest, that is Europe, USA and emerging markets will be very positive. So, the answer is yes, we are in a very good sales trends in those regions, and we expect those regions to be the drivers of growth in the second half of the year.
Alessandro Cecchini: Okay. Thank you. So, maybe a point on the promotional environment, are you seeing something different from the story at this moment in mature markets or just if you can elaborate about the market condition?
Stanislas de Gramont: Do I see something different, where, sorry, I didn’t get it.
Olivier Casanova: In pricing environment in the…
Alessandro Cecchini: Sorry, can you repeat?
Stanislas de Gramont: Yes. I mean the – it’s not so much the promotional environment as it is in large custom appliance. It is more that pricing is coming down in some categories, in some markets because of the fact that cost of productions go down, and that gets reflected. But there is no specific extra pricing intensity in our market. I mean unlike our colleagues in large custom appliance, which suffer from continuously growing promotional pressure with less and less volume, in fact, we are not at all in this situation. The situation in SDA is that pricing is adjusting to the cost base in China. And the market is finding a renewed dynamic in most countries with consumption going up and markets in volume and in value being positive. So, don’t try and make any read across, they are totally different stories.
Alessandro Cecchini: No, I know. I know. But I was just asking.
Olivier Casanova: And the mix effect, of course, will play even more in the second half.
Alessandro Cecchini: Thank you.
Stanislas de Gramont: Yes, because remember, we have been going through – it’s pretty difficult to follow it quarter-by-quarter, but we have been going through a high inflation that started in the second half in 2021, going up all the way through to the beginning of 2023, first half of 2023. And then we saw a reduction in pricing in the second half of 2023. So, there are a lot of phasing effects when you compare quarter-by-quarter or semester-by-semester. So, I think what you should keep in your mind is that we want to maintain high margin levels because we believe margin levels are what allows us to finance the development of the business and the improvement of the operating margin.
Alessandro Cecchini: Okay. Many thanks.
Operator: We currently have no further questions coming through. So, I will hand back to your host for questions raised by webcasters.
Stanislas de Gramont: We have a question on the screen from Katharina Checkelsky [ph]. How do you reconcile your double-digit growth oil-less fryers, full auto or versatile with your overall like-for-like sales growth of 6.5%? Well, very well. And some of the categories are not great dynamically. And overall, I think 6.5% is substantially ahead of consumption. So, we have – as you saw in the product categories, we have most of them are positive. I mean only personal care, which is a very minor part of our business is not positive. Maybe the other explanation is that oil-less fryers, full auto or versatile are not as prominent in our product portfolio and in our category portfolio as they can be in those companies which have made those categories 30%, 40%, 50%, 60% of their turnover. So for us, the contribution of each of those categories is big, but it’s not as material or huge as it is in those specialized companies or companies that are really focused on that.
Olivier Casanova: Maybe to complete Stanislas’ last response, we can also add that, in fact, it’s part of our strategy to have a wide portfolio of products, and as you said, not to be dependent on one category or another. And of course, therefore, it dilutes a little bit the strong performance that we have in certain specific categories. The second point is that remember what we said in the introduction, China and Asia is a very specific situation. And in fact, if you look at Europe and the Americas, in fact, we had a very strong growth of plus 9% in the first half. So, that’s the number really that reflects the strong growth in the categories that we have mentioned.
Stanislas de Gramont: Thank you.
Operator: The next question comes from the line of Marie Fort from Bernstein. Please go ahead.
Marie Fort: Yes. Good evening. Thank you for taking my question. The first one is about Professional division. Could you just help us to think about the organic growth that we can expect for the rest of the year? Shall we consider that the Q2 represents a new normal for this division? And the second question is about the proportion of your sales in U.S. which come from imports from China. And just wanting to know if you are worried about potential custom measures that we took [ph] in this country? Thank you very much.
Stanislas de Gramont: Thank you, Marie-line. Right, as I said, I think we have seen a very strong forward phasing in Q1 for professional coffee. We see Q2 is much more impacted by comps and we see that the second half would be, in fact even more impacted by high comps than the second quarter. I don’t want to tell you any more than that, but I think that’s clear enough. When it comes to the sales proportion in the U.S. coming from China, of course, this question is to be put in the context of potential evolution of the tariffs between China and the United States. We have, as you know, or you don’t know, the majority of our business in the U.S. is made of cookware around 80%, over 80%, I think, part of it All-Clad is made in Keansburg, Pennsylvania, so that’s protected. And within the rest that is imported I would say that three quarters of the imports come from Vietnam and one quarter come from China. So all-in-all, I think the exposure of the U.S. business to China ballpark would be 10%, 15% of the American – or the United States business. At this stage, and if anything, it will go lower.
Olivier Casanova: Maybe just an additional, let’s say, precision on the – back to the professional. I think what we said is that we continue to believe that this market has strong growth potential. And we said generally that the potential is between 5% to 10% growth, probably in the higher end for professional. Of course, it will fluctuate from one quarter to the other, depending on the let’s say, the evolution of large contract delivery and the basis of comparison in the prior year. So, I think we need to de-zoom and look at the long-term perspective, and that hasn’t changed.
Marie Fort: Okay. So, that means that you potentially could recover to better organic sales growth over 2025?
Stanislas de Gramont: Yes. I mean I think the – of course, there is no change in trend. I mean I didn’t bounce back on your expression, the new normal because there is no new normal. I think if you look at the – you can know an exercise is to look at the professional sales quarter-by-quarter over the last 4 years. And you will see that it’s a very progressive buildup of a business that is growing in geographies that is growing in types of customers. So, the phasing of this quarter or that quarter has an impact, of course, on the annual sales results. But the global trend of professional business, around 10% growth is there, was there and will be there. I mean let’s not forget that last year, our professional business was growing close to 30%. And I think posting growth against that plus 30% is just the confirmation that the market is eager to buy those kind of products. And again, we have been saying that in several occasions, the market aspires to buy those machines because they serve very well and very cost efficiently the needs of their customers. Alright.
Marie Fort: Thank you.
Stanislas de Gramont: More questions?
Operator: You have no further questions. I will hand back to your host for additional questions raised by webcasters.
Stanislas de Gramont: Right. What is the current status regarding inventories in the trade? You stated that many markets were positive during H1, is there any restocking from retailers? Thank you very much. I think it’s a good question. Trade inventory is low to fairly low, especially in the United States, but also in Europe. We don’t see any restocking from retailers in the semester nor any destocking, I think it’s low and it’s – and if there is variation, there is going to be a couple of days here and there. But the trend is certainly for a reduction of inventory from our retailers, and there is certainly no restocking effect in our sales performance in this first half. We know we see that our retailers are very cautious about their cash flow management and their cash flow generation. We see that a few of them have covenants that are impacting their – they are constraining their operating cash flow or their working capital requirements, and we see no change in that low inventory policies from our customers.
Olivier Casanova: Another question?
Stanislas de Gramont: How did your sales perform during the Prime Day period? Very well, very well, we have a very strong GG growth. So, Prime Day, is an Amazon event that takes place in July. That is mainly affected West Europe and the United States. We have overall a very strong performance in this Prime Day period. Even more so in Europe with U.S. pretty good compared to a relatively lower promotional intensity versus a year ago. So, the overall number is not outstanding in the U.S. But compared to the investment is pretty good. Now, the Prime Day is not as 11/11 was in China, 5 years ago. Prime Day is three days, four days, five days, maybe promotional period. So, you cannot – and we do not make any conclusions or draw any conclusions from trade performance on the overall July or even Q3 performance.
Olivier Casanova: Do you want to take this opportunity to comment on 18th of June in China?
Stanislas de Gramont: Yes, if you want. Well, if you start asking the questions then…
Olivier Casanova: But I think it’s part of the same topic.
Stanislas de Gramont: Til-Châtel in China was a positive for us, slightly positive, 1%, 2% growth when the market was, I think, around minus 5%, minus 7%. So again, that only confirms even in promotional events that we are able to perform better than the market…
Olivier Casanova: Thank you for your response.
Stanislas de Gramont: My pleasure. Any more questions on the call?
Operator: There are no further questions, so I will hand back to you for conclusion.
Stanislas de Gramont: Any questions on the webcast, no more questions on the webcast. Well, thank you very much for your attention. Thank you for being with us today in this very, very loaded period. Maybe two points of agenda. We will speak again on the 24th of October for the third quarter results. And the other point is that you have seen that we have announced ESG Investor Day, Corporate Social Responsibility Investor Day on the 12th of December, update [ph] will be two-hour or three-hour session. It will be by teams. And I think it’s there to answer a lot of questions that have been asked in the last conference calls or road shows where our analysts and our investors are eager to hear about our CSR ambitions and trajectory. So, we will dedicate a special session to that. So, please let it know to those people in your investor companies or any companies that are dedicated to that would be delighted to welcome as many people as possible. As I said, it will be by form of a video conference, so it will be easier to attend. Right, thank you very much for all of you attending. For those of you who are in Paris, I wish you a great opening ceremony for the Olympics tomorrow night. And for those of you elsewhere in Europe or in the world, that plan to take some holidays, I wish you a great break, and thank you for your continuous attention and support. Bye-bye.
Olivier Casanova: Thank you.